Operator: Good afternoon. Thank you for joining us for the BioTelemetry Fourth Quarter 2019 Earnings Conference Call.Certain statements during the conference call and question-and-answer period to follow may relate to future events and expectations and as such constitute forward-looking statements within the meaning of the Private Securities Litigation Act of 1995. Such statements involve known and unknown risks, uncertainties and other factors, which may cause actual results, performance or achievements of the Company in the future to be materially different from the statements that the Company's executives may make today. These risks are described in detail in our public filings with the Securities and Exchange Commission, including our latest periodic report on Form 10-K or 10-Q. We assume no duty to update these statements.During this call, we will present both GAAP and non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is included in today's earnings press release, which is distributed and available to the public through be Investor Information section of the BioTelemetry website at gobio.com. [Operator Instructions]It is now my pleasure to turn the floor over to your host, Mr. Joseph Capper, President and CEO of BioTelemetry. Sir, you may begin.
Joseph Capper: Thank you, operator, and good afternoon, everyone.I'm Joe Capper, President and CEO of BioTelemetry. With me for today's call is Heather Getz, our Chief Financial Officer. I'll start with highlights about our fourth quarter performance and other recent developments. Heather will take you through a detailed review of our financial results. I will then provide commentary on how we see the business continuing to evolve as we get further into 2020. After our prepared remarks, we will open up the call for questions.I am pleased to report that we delivered another exceptional quarter, setting new all-time highs in quarterly revenue and EBITDA, marking our 30th consecutive growth quarter. This outstanding performance is particularly noteworthy given the previously reported malware incident, which struck the Company in the third week of October.Our operational performance in the face of this significant challenge speaks volumes about the resilience and quality of our organization. We were able to contain, respond and eradicate the issue quickly. And we moved through the recovery phase expeditiously, while minimizing customer disruption, allowing us to finish near the high end of our projected revenue range for the quarter. Most importantly, no sensitive patient or customer information was accessed or extracted.For the full year 2019, revenue grew by 10%, making it our fourth consecutive year with double-digit year-over-year growth. In fact, we have had a remarkable 25% compounded annual growth rate for this four-year period. In addition to our record-setting financial performance, we accomplished a great deal throughout the year.We added critical resources to many parts of the Company, including an expansion to the healthcare division's sales force. We implemented several product and infrastructure enhancements, expanded payer coverage for MCOT and completed a few acquisitions, adding substantially to our addressable market.Our core business was rock solid. In fact, all segments of the Company closed out the year with tremendous momentum, with MCT and extended-wear Holter continuing to grow at above-market rates and the Geneva platform taking hold in the market. We are now poised for another year of double-digit growth in 2020, and that's prior to any acquisitions.Our ongoing commitment to product innovation, combined with exceptional client service, has provided us with numerous competitive advantages and incredibly consistent results for now 7.5 years. We possess an unrivaled and continually evolving portfolio of connected health solutions that is taking the Company to new heights.We are in this position because of our continued focus in three primary areas. Our innovations in the cardiac market have produced the most technologically advanced and expansive remote monitoring offering in the industry.As a result, BioTelemetry remains far and away the market leader. And like all successful growth companies, we seek to expand our position with the addition of other technologies whenever possible, as evidenced most recently with the acquisition of Geneva, which increased our total addressable market by over $1 billion.Our research division has also benefited from select acquisitions that have expanded our service offerings and accelerated growth. By coupling our cardiac core lab services with a world-class imaging capability a few years ago, we were able to dramatically improve our market position, allowing us to compete for business that was previously out of our reach.And as you may know, we have been busy leveraging our wireless platform and proprietary technology to develop new opportunities in the fast-evolving field of digital population health. We are extremely optimistic about the future of population health, given the magnitude of the market and the need for the healthcare industry to migrate to such solutions.I call your attention to these three key areas of focus at the outset of each call to provide clarity on how we allocate our time and resources, particularly for the benefit of those who are new to the story. We believe it's important to understand the drivers of the strategy that have produced such consistent quarterly growth.It is also worth noting, it would be extremely hard to replicate our platform and capabilities. And finally, our multifaceted approach toward connected health provides for considerable flexibility as we are not dependent on any single product or segment for growth.Let's take a look at some of the highlights that drove our success in the quarter. During the period, revenue grew by over 8% to $112 million in spite of the malware issue. Adjusted for the 2019 Medicare rate reduction, this represents over 10% growth.Full year revenue was just over $439 million, up 10% from 2018. Overall margins were above expectations as quarterly EBITDA grew to $31.7 million, just above Q3 and $1.3 million versus the prior year.We ended the quarter with $69 million in cash after using $45 million to acquire Geneva, which equates to an increase in our cash balance for the year of $33 million. We continue to integrate Geneva into the healthcare business and evaluated new options to best leverage this powerful platform.Our research services team turned in another strong performance, and we continue making steady progress in our digital population health management business through key partnerships and internal investments.Taking a closer look at the healthcare services segment, we have numerous opportunities for continued growth. During the quarter, the teams executed incredibly well with a focus on expanding the market for MCT, extended-wear Holter and the Geneva application, resulting in a growth rate of 9% in this segment, which is 12% when adjusted for the Medicare rate reduction. Importantly, the MCT and extended-wear Holter growth rates remained well above market, evidence that the sales force expansion beginning early last year is yielding the anticipated results.We also received good news on the reimbursement front. HCSC, or Health Care Services Corporation, an organization which encompasses five of the Blue Cross companies, reversed its long-standing medical coverage policy and will now provide coverage for MCOT. As you know, we have spearheaded a non-stop effort to flip the remaining holdouts on this issue of medical coverage.This development opens the door for the Blues to begin reimbursing for MCOT services in New Mexico, Montana, Oklahoma and the highly populated states of Illinois and Texas. We are now in the process of establishing contracts with these payers and will keep you posted on our progress.Also, as I mentioned on our last call, permanent codes for extended-wear Holter have been accepted by the AMA. The ROC is currently working through its process to make reimbursement recommendations to CMS. We will get our first indication of where the rates will most likely be set when the proposed physician fee schedule is posted in the summer of 2020. The new code structure will become effective January 1, 2021.Additionally, we continue to make excellent progress driving full market penetration of the Geneva platform, which grew in sales by 17.5% over the prior quarter. As a reminder, Geneva is an innovative proprietary cloud-based platform that aggregates data from the leading cardiac devices, enabling the Company to remotely monitor all of a physician's patients with implanted devices such as pacemakers, defibrillators and loop recorders. The acquisition of Geneva has repositioned BioTelemetry as a much more progressive data consolidation and solutions oriented company within the cardiology market.During the quarter, we made excellent progress in our initial effort to introduce Geneva into the thousands of accounts for which we currently provide cardiac monitoring services. The entire healthcare services sales team has been trained on the Geneva solution and is now carrying quota for the sale of the service. In addition to all of our account executives and regional sales directors now having responsibility for Geneva sales, we will have 12 sales professionals across the country completely focused on selling this solution.We completed the development work necessary to integrate our cardiac monitoring data stream into Geneva. This capability is in test phase in a few of our key sites. We're also investing in the development of other follow-on capabilities and improvements, which will further enhance the value of the Geneva platform for years to come.Switching to research services, we are happy to report on another solid quarter, capping off a year where we experienced nearly 8% growth, well above the market. The 2019 performance is particularly noteworthy, given that we were coming off a 30% growth rate in 2018. As we have explained in the past, the research business can be choppy from year to year as large studies stop - start and stop in an inconsistent fashion.Remarkably, the team has grown the business for four straight years with a compounded annual growth rate of 26%. I have mentioned on previous calls that our proprietary ePatch product is becoming an important element of many new cardiac safety studies. We continue to exploit this competitive advantage and anticipate increased demand for this service from various sponsors in the research market.During the quarter, we also continued to invest in new faster and more efficient processing systems, which will create greater efficiency and scalability. We expect the system automation enhancements we completed over the past year to improve research services gross margin and make it much easier to scale the business.In terms of new market opportunities, we continued to work during the quarter on our digital population health initiative. In 2019, we allocated more business development resources to the payor segment and spent time exploring the potential for developing a physician-driven sales channel, leveraging the new remote patient monitoring CPT codes.We believe these codes have the potential to create a viable alternative for commercializing our care management solution. We are making good headway developing our pop health business and are actively evaluating options to move more aggressively to collaboration and partnership. We hope to be able to announce one such endeavor in the very near future.To sum up, we are extremely pleased with the Company's fourth quarter and full year results, especially given the challenges we faced in October. For the full year, we expanded and set new highs in every segment of the business, growing revenue a total of $40 million.We acquired Geneva, significantly increasing our total available market. We acquired ADEA, establishing a European presence. And we had several infrastructure-related investments across the Company that will support our continued growth well into the future.2019 was an excellent year, and our momentum continues, as we are now poised to deliver another year of double-digit organic growth. Moreover, we have a corporate development pipeline that is filled with numerous exciting opportunities to augment our market-leading connected health capabilities through partnership and investment.Before I turn the call over to Heather, I want to make a few comments about the coronavirus. Most importantly, and I know I speak for the entire BioTelemetry team, our thoughts and prayers go out to the many people around the world who are currently battling this deadly virus. As far as any potential impact on our business, we assess this risk to be relatively low at this point. Since we currently do not market any of our products or services in the affected regions, our primary concern is on ensuring continued supply of our products.While we do not manufacture any of our products in China, we do source key components from the region and have plans in place to ensure business continuity. Importantly, we maintain a buffer supply of any critical components sourced overseas. So we know we are in great shape for the next couple of quarters.Also, the factories in China from which we source components have already been cleared to return to work. Last, we've been even working on alternative suppliers from other regions in the event the conditions in China worsen. As such, we do not anticipate any supply related issues.With that, I'll now turn the call over to Heather for a detailed financial review of the quarter. Heather?
Heather Getz: Thank you, Joe, and good afternoon, everyone.As Joe just announced, we closed 2019 with a record-setting fourth quarter. It was our 30th consecutive quarter of year-over-year revenue growth and our highest revenue and adjusted EBITDA in the history of the Company. This is even more remarkable when you consider the challenges the Company faced in the quarter as a result of the malware attack.Total revenue grew 8%, reaching $112 million and coming in at the high end of our expectations. This growth resulted from revenue increases in all of our business lines. Healthcare revenue increased $7.8 million or 9% to $95.1 million, once again driven by patient volume growth of 9% in our MCT and over 50% in extended Holter service lines, as well as the addition of Geneva's revenue from the monitoring of implantable cardiac devices.These increases were partially offset by the $3 million impact from the reduction in the Medicare - the MCT Medicare pricing and negative payor mix. Excluding this reduction, our healthcare revenue growth in the quarter would have been over 12%.Our research revenue increased slightly to $13.4 million, benefiting from new studies utilizing our ePatch extended-wear Holter device. Lastly, our other revenue increased 20% to $3.5 million, resulting from new partnerships in our digital population health business.Moving to gross profit, our margin for the fourth quarter was 62.4% versus 61.7% in the prior-year period. The slight increase in our margin was primarily due to volume efficiencies and product mix, partially offset by the lower MCT prices and higher cost of sales in our research business. We view 62% to 63% as a more normal range for our gross profit margin at this point.Our fourth quarter adjusted EBITDA was $31.7 million, an increase of $1.3 million, representing a 28.3% return on revenue. The increase in our adjusted EBITDA dollars was primarily due to the increased revenue, partially offset by the impact of the investments we are making in technology and our sales organization.The decrease in EBITDA margin percentage was due to the lower MCT average rate, the increased investments, as well as the impact of the acquisition of Geneva, which is in early growth stage, and as a result, currently carries a lower EBITDA margin compared to our core businesses.As for our tax rate, for 2019, our GAAP tax rate was approximately 25%. We anticipate that we will continue to be able to utilize our $150 million of federal net operating loss carryforwards. As a result, we paid approximately $1 million for 2019 cash taxes. For 2020, we are expecting to pay $2 million to $4 million in cash taxes and have a GAAP tax rate of about 28% to 29%.Moving to our balance sheet, we ended the quarter with $69 million in cash and $195 million of indebtedness, putting our debt to EBITDA ratio at about 1.5 times. Year-to-date, we generated $68 million in cash from operations and used $31 million for capital expenditures. These expenditures were driven by purchases of our MCT and extended-wear Holter patch devices, as well as for capitalized software and hardware as we invest in our IT environment and infrastructure. Free cash flow was $37 million. And we used $45 million of our cash in the first quarter for the upfront payment of the Geneva acquisition.In January of 2020, we refinanced our term debt to an upsized five-year $400 million revolver with more favorable terms, including lower pricing of about 50 basis points. The Company will benefit from the additional $150 million in capacity, as well as the flexibility to pay down and draw on the facility, while maintaining access to the capital. What this means is, when you look at our future balance sheet, assuming no acquisitions, our net debt will be the same, but our gross cash and our gross debt will be lower.To review, our full year 2019 revenue was $439 million with EBITDA of $123.7 million. This represented a revenue increase of 10% over 2018 on an as reported basis and 8% on an organic basis. Adjusted EBITDA grew 9% and our adjusted EBITDA return was essentially flat at 28.2%.As has been the case each quarter, these results are a reflection of the revenue growth across all segments of our business, in particular the MCT and extended-wear Holter patch products, the introduction of Geneva services into the BioTelemetry account, as well as growth in our pop health business.Before moving to 2020, I'd like to note two dynamics that impacted our 2019 GAAP financials and will continue to impact us for the next two years. The first one is one you're more familiar with, and that is related to our taxes. While we are expecting to record a GAAP tax rate in the mid-20s, we will continue to utilize NOLs through 2021. Therefore, our cash taxes will be much less than the taxes recorded on our GAAP financials.The second item to be aware of is expense related to the contingent consideration for Geneva. Purchase accounting rules require us to make an estimate of the net present value of the future payments that may be made. Any changes as well as expense related to the time value of money will run through the income statement.While it may seem counterintuitive, if Geneva exceeds our expectations, more expense will run through our income statement to account for the additional potential payment. To note, we are adjusting out any change related to this contingent consideration in order to arrive at our non-GAAP numbers.Moving to 2020, we have talked about double-digit top line growth and EBITDA margin expansion. More specifically, we expect top line revenue in the range of $480 million to $486 million, gross margins of 62% to 63% and EBITDA return of approximately 28.5%. This guidance reflects the continued investments that we are making in the sales force and information technology groups, as well as the impact of the growing implantable device monitoring business.For the first quarter of 2020, we are projecting revenue of $113 million to $116 million and EBITDA margin of approximately 25% to 26%. We'd like to remind everyone that Q1 is always more heavily impacted by certain expenses like payroll taxes and sales meetings, which has an impact on our gross margins and EBITDA return.To summarize, the Company remains in a strong financial position with modest leverage and additional capacity if needed. We are pleased to have delivered another great quarter with consistently strong results. These results have provided and will continue to provide us with the financial strength and flexibility to execute on our key growth initiatives.And with that, I will turn the call back over to Joe.
Joseph Capper: Thanks Heather.As you've just heard, we finished 2019 with another great quarter, capping off a record-setting year and continuing to build upon our long-standing momentum. Our forward-thinking strategy is yielding the results we had envisioned, and it has positioned us quite well to compete within today's evolving healthcare market.Our road map for success in 2020 is well defined. For the full year, we expect double-digit organic revenue growth, which will put us at nearly $0.5 billion in sales prior to any acquisitions. On last quarter's call, I gave our rationale for why we are confident this will be the case. It bears repeating.In order for the Company to achieve this objective, the healthcare segment, which constitutes 85% of the Company's revenue, must achieve double-digit growth. With reimbursement rates expected to be flat from year to year, the primary factors affecting healthcare revenue growth will be MCT and extended-wear Holter volume and sales of the Geneva platform.The 2019 expansion of the sales force, all of whom are now carrying quota for the Geneva sales as of January 1, combined with the addition of the Geneva-focused resources I spoke about earlier, will add significant fuel to our already market-leading sales engine. If we perform at or above expectations in these three areas, we are most of the way there.Any additional contributions from the ADEA business or collaborations we may implement throughout the year will further bolster the performance of this division. Therefore, we are well positioned to achieve our double-digit revenue growth objective, even with more modest contributions from the other businesses.Add to this, the possibility of additional investments and acquisitions in various parts of the enterprise. As mentioned, our business development pipeline is active, and we were able to execute on it, given our strong balance sheet and significant free cash generation. As Heather mentioned, we recently added even more flexibility and capacity with the establishment of a new debt facility.Given our dynamic capabilities, BioTelemetry is able to capitalize both in the short term and long term, as our technology and platform are uniquely suited to address large and developing opportunities. For these reasons, we are extremely excited about our future prospects and expect 2020 to be another record setting year.I would again like to sincerely thank those of you who helped deliver our 30th consecutive growth quarter, and a special thank you goes to so many people in the Company who went well above and beyond the call in the face of the previously mentioned challenges.With that, we'll now pause and open the call to your questions. Operator, we're ready for our first question.
Operator: [Operator Instructions] Our first question comes from Kaila Krum with SunTrust. Your line is now open.
Kaila Krum: So first on the healthcare services business, a great quarter with 9% growth and hurdling those malware issues in the quarter. So first, is there a way to quantify how those malware issues impacted the business in the fourth quarter? Did they weigh on your performance at all? And just any additional color there would be helpful.
Joseph Capper: They certainly weighed on our performance. I can't tell you exactly how much. We tried to capture that in our revenue range that we had put out prior to the quarter, and I think we put out $108 million to $113 million, as I recall, based on the information we had at the time. We actually did much better than we thought we would through the quarter. We were up and running a lot quicker than we thought, and we had less impact. That being said, there was significant impact. And sometimes, it takes a while before you can look back and actually calculate what exactly that impact was.
Kaila Krum: Makes a lot of sense. But, no, that's helpful. And then, can you just remind us or just give us any updated thoughts on your strategy in the extended-wear Holter market? Obviously, we won't know final reimbursement rates until mid-year. But curious how you are thinking about this opportunity in the interim, how you're planning to invest in this market this year and just how you're thinking about it contributing to growth in 2020?
Joseph Capper: Yes. The potential for any reimbursement change does not affect our approach to the market at all. For some time, our team has been trained on detailing and positioning our portfolio of solutions to the healthcare providers. So we have an array of remote cardiac monitoring solutions, some of which are appropriate for different types of patients.And we educate the physician on what the capabilities are of each one of these solutions, and then it's really their decision on what's modality they choose for which patients, which patient type and which condition. So we really sell the portfolio. Extended-wear Holter is actually growing at the fastest rate within the portfolio, given the market dynamics and the fact that it's newer and it's tending to replace some of the older modalities.
Operator: Our next question comes from Brooks O'Neil with Lake Street Capital. Your line is now open.
Frank Takkinen: Frank Takkinen on for Brooks. Thanks for taking my questions. I just have two today. First, I was hoping you could help us think about the contribution you're thinking from Geneva for your fiscal year '20 guidance. I know you're not going to get too specific with it. But seeing it's about $5.5 million, $6 million in revenue by my estimates, just curious if you could kind of quantify how you feel about the growth profile of that in 2020.
Joseph Capper: Yes, it's going to be our highest growth service line for sure. We'll likely nearly double the size of the business year-over-year, which will put the revenue somewhere in the $30 million range, plus or minus a little bit, but that kind of gives you a ballpark. And I think the important message is, we have a tremendous amount of momentum. We literally just assigned quota to 120 salespeople in our organization.We're in the process of adding more specialized resources. We think we can do a lot of business with this service line. And more importantly, we think it ties together a nice solution, if you will, continuous cardiac portfolio that is - it has a lot of value within the market. So we see future growth for this for years to come.
Frank Takkinen: And then secondly, on the balance sheet, I saw accounts receivable come up for a second quarter in a row. Just hoping you could help us understand what's going on there exactly.
Heather Getz: Yes. What you're seeing there is a direct impact of the malware incident. While our patient systems got back up and running very quickly, some of the operational systems took a little bit more time. So it's a bit more time to get the billing out. You should expect to see that recover in the beginning of 2020.
Operator: Our next question comes from Jayson Bedford with Raymond James. Your line is now open.
Jayson Bedford: So just a couple of questions. Just on the 9% growth in Healthcare, obviously extended Holter growing north of 50%, Geneva being nicely additive, what piece of the business may be weighing on the growth a little bit? Is it event or traditional Holter? Just a little color there would be helpful.
Joseph Capper: Yes, both more event than traditional Holter. Event is the one that seems to be cannibalized by both MCT and likely extended-wear Holter. For us - we hear in the marketplace that the Holter business is - the traditional Holter business is declining. But ironically, ours has been kind of flat, maybe down just a smidge.
Jayson Bedford: And just how big is that? I realize most of the growth is coming from a few areas. But event and Holter, how big is that as a percent of all of healthcare? I imagine, it's getting smaller.
Heather Getz: Yes. So, from a revenue perspective, it is in the quarter - if I exclude Geneva, so like if I want to give apples-to-apples compared to the prior year, as a percentage of our revenue, last year, event was more like 15%, 16%. And this year, it was like 13%, 14%. So you can see, as a percentage of our revenue, it has been declining.
Jayson Bedford: Okay, perfect. And Joe, you mentioned new market opportunities around digital population health. And it sounds like you're getting closer to something a little bit more tangible there. Can you just walk us through, from a revenue earnings perspective, how you would expect either collaborations or partnerships to play out either in '20 and beyond?
Joseph Capper: I probably would stop short of revenue and earnings discussions for 2020. I think the message for 2020 is, we're continuing to invest. We invested modestly in 2019. We'll invest a little bit more aggressively in 2020. And we do have opportunity to do that through a partnership or potentially licensing or acquisition. So we're still in the phase where we're kind of building out the total business solution, and we're doing it in a cost-effective manner. So we will invest in the business as appropriate. Obviously, I can't run with a $20 million loss in a business segment.So I have to balance that within the portfolio. But where possible and where appropriate, it's one of the businesses we will look to accelerate investing in when we can. So I know I don't answer your question about revenue and earnings or numbers for 2020. But I think as we get further into 2020 in the back half, we'll be in a better position to do that.
Jayson Bedford: And Joe, the way to address that, it sounds like you have the infrastructure in place. It's just more collaborations and partnerships versus acquisition to fulfill this opportunity. Is that a fair way of looking at it?
Joseph Capper: Yes, I think a little bit of both. Yeah, more on the former than the latter. But there might be opportunities to do some from an acquisition standpoint. It's really a developing market. And as you know, everybody wants more for the business than we want to pay. It's just the nature of the game.So we're trying to be prudent about it. The business has developed slower than I would have liked to see it, but I think part of that has to do with the dynamics in the marketplace and the fact that, I think, it's still kind of developing. I love the market. I think we're in a great position to participate in the market and to leverage some of our other infrastructure.Certainly, the concept of pop health and connected health and digital health couldn't be more - the demand for it couldn't be more obvious than what we're seeing right now with the coronavirus. That is a perfect example of why organizations should be developing and investing more in connected health or telehealth solutions. That is a prime example of how those technologies could be used. So we love the market, and we think that you'll see more and more opportunity for it as the years roll by. But again, we just can't throw a ton of money at it this early on.
Operator: Our next question comes from Marco Rodriguez with Stonegate Capital. Your line is now open.
Marco Rodriguez: Joe, I was wondering maybe you could expand a little bit on the sales force expansion. Obviously, you've done a lot to get your general sales force up to speed on Geneva. They've got certain incentive structures. You're adding more specific people for Geneva. Can you just talk a little bit more about whether or not you've hit those full 12 reps there on Geneva and what is sort of the expectations you have as they start to kind of roll out your sales strategy there?
Joseph Capper: Yes. We have not filled all of those positions yet. We have 12 regions across the country. Thought would be to start with one, what we're calling, innovation sales specialist in each region. These are, as you would imagine, tend to be slightly more experienced and seasoned sales professionals that can cut back a complex sales process, as it involves financial selling, it involves workflow, it involves technology.So that process is under way. Some of those people will come from within our existing organization. Some of them will come from outside the Company. I think we're a little bit more than halfway down. We might have seven or eight of the 12 filled. But we're moving very, very fast through the process.
Marco Rodriguez: And then, how should we be thinking about those additional investments for the sales force as well as obviously the IT? What sort of additional expenses we should expect here that run through the OpEx and sort of the kind of the cadence as we progress through fiscal '20?
Heather Getz: Yes. You're going to see on the sales side, it would be a little bit more front loaded from a standpoint of it rolling in. But that obviously has been taken account in the guidance we gave for Q1, as well as the full year guidance of the 28.5% EBITDA margin.
Marco Rodriguez: And a last quick question. We're getting close to lapping here the Geneva acquisition. Just kind of wondering if you can maybe update us on the acquisition landscape, what sort of opportunities look sort of interesting, and if you can maybe talk to what the valuations look like.
Joseph Capper: Yes. Think in terms of the three primary tenets of our growth strategy, that is to go deeper and wider in cardiac monitoring, to really fortify our position there. Geneva really, really helped in that regard. There is potentially more opportunities for acquisition and partnership to do more of the same, to build out that comprehensive solution.In the research business, it's adding capabilities. We've validated in the past that when we bring more service lines to our partners or the vendors, we are a more attractive supplier. So we think that there is some capabilities that are attractive there that we could add to our portfolio. And then, obviously, we talked about what we're doing with pop health in and around that.So I would think about it along those lines. We will only make - we only look to make acquisitions or really spend any money outside of the Company when it fits in that strategy. If it doesn't accelerate the growth plan, we don't really spend a lot of time on it. There's a lot of interesting things out there, especially in connected health that may not fit into our plan.In terms of valuation, we just do the best we can. And I think we're pretty good about that. Most of the acquisitions we've made to date have been fairly accretive. I think the Geneva one is one exception. We went heavy upfront with an aggressive earn-out because we saw the potential for that platform, and it was close to the market we were already in. We knew that we could leverage our existing sales channel.So we thought we could have a fairly dramatic impact on the growth of that business in the first three years of ownership. So we're really comfortable with that structure. It looks like I paid too much upfront. After three years, it's going to look like I stole it.
Operator: Our next question comes from Mitra Ramgopal with Sidoti. Your line is now open.
Mitra Ramgopal: First, I just wanted to follow up a little more on the investment spending and regarding the sales force on the digital population side. Assuming the start fairly early there, do you think you need to start looking at sales people for that initiative? Or is that more of a 2021 and beyond story?
Joseph Capper: Mitra, I apologize. Whatever reason, you line is [technical difficulty].
Mitra Ramgopal: Oh, yes, [technical difficulty] but as it relates to the sales force expansion, do you need to start adding on the digital population side? Or is it too early for that?
Joseph Capper: We've been adding a little bit on the [technical difficulty] and we'll continue to do that as appropriate.
Mitra Ramgopal: Okay, thanks. Then, on the guidance does it assume any of the Blues coming on board? Or are you going to wait till it's actually happened before maybe updating that?
Joseph Capper: To be determined.
Mitra Ramgopal: Okay. And then, finally, any change in the competitive environment?
Joseph Capper: I'm sorry, say that again.
Mitra Ramgopal: Any change in the competitive environment for you? Are you seeing any additional challenges there?
Joseph Capper: Again, we have a lot of background noise. I would say [technical difficulty].
Mitra Ramgopal: Okay. Thanks again. Sorry about the connection.
Operator: Our next question comes from Gene Mannheimer with Dougherty & Company. Your line is now open.
Gene Mannheimer: Congrats on the strong finish to 2019. I wanted - you're welcome. I wanted to ask the - so what type of growth is contemplated in MCOT this year? I'm coming up with like 7% in our model. Is that the right way to think about it?
Heather Getz: Are you talking about for 2020?
Gene Mannheimer: Yes.
Heather Getz: So I would probably think of it a little bit differently, Gene. When we provide the overall double-digit guidance, and I know Joe threw out there the Geneva number, and if you're backing into that, there is - you have to balance it among the different segments. And we expect our research to be a little bit softer next year. So what you're going to see is our healthcare being a little bit stronger in total. So I wouldn't assume that healthcare is growing by 10% and back into that MCT.
Gene Mannheimer: Okay, that helps out a lot. Thanks. And the other - I think the prior question related to competition, I'm just wondering if you're seeing any share shift in the market now that there is a competitive offering available for MCT?
Joseph Capper: So could you elaborate more? There's been competitive entities on the market for many years.
Gene Mannheimer: Right. So, you have Preventice that has something, the BodyGuardian MINI. You have iRhythm with their AT service that looks to be sort of relaunched or generally available at this time. Any impact from those?
Joseph Capper: No. I would say that we - competitive landscape really hasn't changed a whole lot. These guys have been out there for a while. Some of them have done well. Some of them haven't done well. So there has been competitors in and out of the MCT market. Obviously, we're the largest participant. So we have the toughest time continuing to grow at double-digits in a market that doesn't grow that much. So I think it's about the same as it has been, Gene We have good competitors and we have some competitors that are not as good.
Gene Mannheimer: Okay, makes sense. And Heather, you made the comment about research being a little softer. Is it reasonable to assume that it would grow again this year? Or is flattish the best way to think about it?
Joseph Capper: Yes, I'd say flattish, Gene. We've talked about in the past, that's a choppy market. And we've been on a nice run with it. So we're kind of going through a natural cycle where the backlog - the pipeline has sort of flattened out a bit. So I would say, think about that as a flattish kind of business for this year.
Operator: And at this time, I'm showing no further questions. I'd like to turn the call back over to Joe for any closing remarks.
Joseph Capper: Thank you. Thanks everybody for your continued support and interest in the Company. We will speak to you next quarter. Operator, that concludes today's call.
Operator: If you joined the conference late today, you may listen to the conference call via digital replay, which will be available through the Investor Information section of the BioTelemetry website at gobio.com until March 11, 2020.